Operator: Good afternoon. Thank you for joining us for the BioTelemetry Fourth Quarter 2014 Earnings Conference Call. Certain statements during the conference call and question-and-answer period to follow, may relate to future events and expectations and as such constitute forward-looking statements within the meaning of the Private Securities and Litigation Reform Act of 1995. Such statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of the company in the future to be materially different from the statements that the company executives make today. These risks are described in detail in our public filings with the Securities and Exchange Commission, including our latest periodic report on Forms 10-K or 10-Q. We assume no duty to update these statements. At this time all participants have been placed in a listen-only mode. The floor will be open for questions and comments following the presentation. It is now my pleasure to turn the floor over to your host, Mr. Joseph Capper. Sir you may begin.
Joseph Capper: Thank you, operator and good afternoon everyone. I am Joe Capper, President and CEO of BioTelemetry. Also with me on the call is our Chief Financial Officer, Heather Getz. I will provide commentary on our fourth quarter performance, Heather will take you through a more detailed review of our operating results, and we’ll then open the call to your questions. It is my pleasure to report this afternoon that we cast off 2014 with another excellent quarter, during which we successfully executed on our key objectives and set another quarterly revenue high for the company. We also delivered outstanding organic volume growth in Patient Services and continue to build the backlog in the research division. The full year 2014 was a breakout year for BioTelemetry. We generated solid organic growth and made several important acquisitions which drove record revenue, EBITDA, volume and backlog. These positive milestones stand form the successful execution of the strategy we have outlined on our prior calls. As a reminder, they we three tenants of our strategy, which we focus on every day to drive growth. They are, solidify our leadership positioning cardiac monitoring, establish a leading Research Services business around the Cardiocore platform; and look to identify markets that would benefit from the application of our wireless platform and proprietary technology. Our adherence to these overarching principles is incorporated into every facet of our decision making and has been instrumental in generating our strong results in 2014. As I mentioned, we finished the year with excellent momentum. Let’s take a few minutes to review the Q4 highlights. The fourth quarter was our tenth consecutive period of year-over-year growth. Revenue grew by 32% to $44 million, another record high for the company. EBITDA was $6.3 million, up 20% over the prior year. The Patient Services volume continue to gained momentum with total volume up 95% year-over-year in MCT volume rising 24%. In total, we serviced nearly 550,000 patients in 2014, almost doubling prior year volume. During the quarter, we entered into a credit agreement with General Electric Capital Corporation providing financing capacity as opportunities may arise to accelerate our strategic plan and for the consolidation and repayment of our existing debt. And we ended the quarter with $20 million in cash. In our Patient Services division, we saw our comprehensive approach continue to generate greater market penetration. Our 95% volume growth clearly operates the market. As I mentioned on our last call, the integrations and the acquisitions we made in 2014 our progression according to plan and meeting or exceeding all expectations. The scale and synergy created by these acquisitions will continue to improve our operating margins overtime. Additionally, market share expansion in advance of launching our next generation mobile Telemetry system will help drive rapid acceptance when we introduce the product later this year. With the demand for remote monitoring solutions on the rise, our Patient Services business is incredibly well positioned. We have gained scale through acquisition and have dramatically improved our organic growth rate due to our comprehensive approach to the market. We are moving through the integrations in an expeditious fashion, extracting efficiencies from the business wherever possible and creating additional revenue opportunities with the exciting new products that will be coming to market in the near future. Turning to research services, during the quarter, we continue to see improvement in the outlook for this important division as we made excellent progress in several areas. First, we made headway in our effort to expand our footprint outside of the U.S. by formalizing co-marketing agreement with Vitalograph, a European base respiratory core lab. This collaboration is complementary for both parties providing our mutual customers the seamless benefits of an expanded geographic footprint and service line offering. We are currently determining what additional resources will be necessary add to our international operations in order to support anticipated growth. Second, we added key talent in leadership to support the imaging core lab we acquired earlier in year. Consistent with our strategic intent for the research business, the imaging line broadens our cardiac imaging offerings and adds new oncology, musculoskeletal and neurological imaging capabilities, supported by a state-of-the-art, cloud-based analysis platform. Lastly, we saw further improvement to our backlog during the quarter, which has more than doubled since beginning of 2014, setting the stage for an excellent 2015. In addition to the advancements in our core business, we continue to invest resources for further diversification, which I have spoken about on previous calls. We are making progress with our at home INR monitoring service, which allows us to leverage our current IDTF and sales and marketing infrastructure. During the quarter, we entered into a provider agreement with Roche Diagnostics, the leading manufacturer of INR home testing devices. The agreement provides for marketing support, as well as more advantageous pricing. Our collaboration with Wellbridge Health, a CHS care management solutions company, aimed at reducing unnecessary hospital re-admissions and emergency room visits, continues to develop according to plan. Wellbridge’s first two pilot programs have demonstrated results far better than anticipated. As a result, they would be expanding these programs and moving into a revenue generating phase later this year. Also as mentioned on previous calls, we have been assessing how best to position the company as a player in the emerging consumer mHealth market, a segment that many believe will evolve into a sizable business. As a reminder, our approach will be to collaborate with potential consumer and medical device companies looking to leverage our expertise in remote monitoring and our ability to make data relevant. And with that, I will now turn the call over to Heather for a detailed financial review of the quarter. Heather?
Heather Getz: Thank you, Joe, and good afternoon, everyone. As Joe mentioned, 2014 was a great year for BioTelemetry. We’ve finished the year with fourth quarter revenue of $44 million and $11 million or 32% increase over the fourth quarter of 2013 and for the third quarter in a row our highest quarterly revenue in the Company’s history. The increased revenue was coming from all three of our segments, but due in large part to a $9 million increase in our Patient Services business. As Joe mentioned, our patient volume grew 95% due to our acquisitions of Mednet and BMS as well as strong organic growth of about 15%. Moving to gross profit, our adjusted margin was 57% compared to 63% in the prior year quarter. This decrease in gross margin percentage was due to the product mix of our acquisitions, which served as a higher proportion of event and Holter patients, both of which carry lower margins. In addition, the leverage gain from the increased volume in our base business was essentially offset by lower ASPs, driven by the reduction in Medicare reimbursement that occurred January 1 of 2014. I would like to remind everyone again, that through our acquisitions as well as through our CardioNet comprehensive approach, we have made a conscious decision to create scale in our Patient Services business as the expense of the margin. By design, our strategy has caused a shift in our product mix in favor of Event and Holter, which carry lower margins than MCT. While our MCT, Event and Holter volumes are all growing, our base event business grew more than 30% year-over-year. That being said, we believe this approach has lead to greater market penetration, increased growth and higher same-store sales, which in return will create greater SG&A leverage. Essentially, any gross margin percentage that we are giving up, we expect to more than make up in operating margin over time. To demonstrate this leverage, while our gross margin percentage was flat to Q2, which was our first full quarter including the acquisitions, our EBITDA increased in absolute dollars from $5.1 million in Q2 to $6.3 million in Q4. And our EBITDA margin increased from 12% to 14.5%. Moving back to the year-over-year comparison, as I just mentioned, we generated positive adjusted EBITDA of $6.3 million for the fourth quarter 2014, compared to $5.2 million in Q4 2013, a 20% increase. We were able to achieve this 14.5% adjusted EBITDA return in spite of the Medicare reduction that went into effect January 1. This is an approximate 250 basis points increase in EBITDA margin as compared to 2013 after adjusting for the Medicare reduction. Now turning to the balance sheet. We ended the quarter with $20 million in cash which was down $2 million compared to 2013. For the full year, we generated $8.8 million in cash from operations which was due to acquired Mednet, as well as for capital expenditures primarily medical devices and an investment in our new operating system. In the fourth quarter, we entered into a credit agreement for a $25 million, five-year term loan with an additional $15 million revolver that remains un-drawn. As Joe mentioned, this new agreement provides us additional financing capacity while allowing us to consolidate and repay the company’s existing debt. This debt is subject to standard financial covenants including a minimum fixed charge ratio and a maximum leverage ratio. Shifting gears now, I’d like to touch on the outlook for 2015 and more specifically on the first quarter. As we laid out on our previous conference call, we have seen momentum in our overall business led by organic volume growth in the Patient Services segment and bolstered by the acquisitions of Mednet and BMS. In addition, Research Services is doing well, which is reflected in its expanding backlog. We will continue to build on our CardioNet comprehensive strategy with a launch of our low-cost Holter and next-generation MCT in a patch form factor. We are also investing in our international locations, which support our Research Services and product segments. Finally in 2015, we expect the full integration of our 2014 acquisitions to increase leverage in the business. These factors allow us to reiterate the 2015 guidance of low double-digit revenue growth for the full year and adjusted EBITDA of over $30 million, a 50% increase over 2014. Before I turn the call back to Joe, I would like to provide some color on the first quarter as well. We clearly expect Q1 2015 revenue and EBITDA to exceed Q1 of 2014. With that being said, Q1 is typically our lowest EBITDA dollar and margin quarter as our expenses tend to be higher. This is due in part to the timing of certain sales meetings and then resetting of payable taxes. As a result, we expect Q1 2015 to be flat to lower than Q4 2014. In addition, our cash balance typically declines in Q1 due to the higher expenses as well as payment of management incentive bonuses and the prepayment of other annual expenses. And with that, I’ll now turn the call back to Joe.
Joseph Capper: Thanks, Heather. As you’ve just heard, we had a highly successful fourth quarter capping off a record sale in 2014. Our growth strategy is working as designed in the company continues to build momentum. As such we have high expectations for 2015, as all parts of our business are seeing more opportunities for growth than ever before. For example, with the increase in scale from our acquisitions and expanded payor coverage combined with expected near-term reimbursement stability, our Patient Services business is well positioned for continued success. To ensure this happens, we will stay focused on completing the integrations in a manner, which maximizes customer retention, realizes appropriate savings and creates a stronger overall Patient Services business. In addition to integrated related synergies, we had several other ongoing cost reduction projects that will create incremental operating margin for the company in 2015. We will also continue to build on our comprehensive approach to the market by introducing new products, first with the launch of CardioKey, followed by our next generation Telemetry system. Our research division will continue build backlog by leveraging our expanded service offering, European operation and recently established co-marketing agreement, and we are excited about the progress being made on various initiatives to develop additional sources of revenue. As mentioned, we are looking a double-digit revenue growth for 2015 and in EBITDA which will grow by more than 50% year-over-year. While these are all the expectations, our strategy has us well positioned to benefit from the rapid pace to which the market to remote patient monitoring solutions is evolving. As a result, we are highly optimistic about our prospects going forward. In closing, I would again like to thank all those of the company, who helped to deliver our tenth consecutive growth quarter and another record high in quarterly revenue. Your efforts are greatly appreciate it, most of all, for the scores of patients for whom you provide critical and sometimes life saving information. With that, we will now pass and open the call to questions. Operator, we are ready for our first question.
Operator: Thank you. [Operator Instructions] Our first question comes from Alex Silverman of Special Situations. Your line is now open.
Alex Silverman: Good evening, how are you guys.
Heather Getz: Good hi Alex.
Alex Silverman: So just walking through your 2015 revenue guidance, organic patient service revenue has grown 15%, 18%, 20% the past few quarters, flat reimbursement rate of full year of acquisitions, better research services, I get to something much better than a low double-digit revenue growth rate. I’m missing something?
Heather Getz: Yes, sorry. So the organic growth that you are referring to on the Patient Services is on the volume side.
Alex Silverman: Okay.
Heather Getz: That 15% growth is Patient Services volume, on revenue side it’s in the 5% to 8% range.
Alex Silverman: Is that because of mix?
Heather Getz: It’s because of the mix, as well as the Medicare reduction that occurred earlier in the year.
Joseph Capper: Right, but 2015 there won’t be a reduction, it will be flat.
Heather Getz: No, that’s right. So when you go into 2015, that’s why we are looking at low double-digit growth for 2015 on the revenue line.
Alex Silverman: So that would suggest, I do expect organic revenue patient volume to decrease from that 15% plus rate?
Heather Getz: Yes, so we’re…
Joseph Capper: Yes, its Alex it’s always the best guess right, and…
Alex Silverman: Yes.
Joseph Capper: And we don’t see any indications in the market place that we won’t see decent organic growth coming into 2015, but we spent the year and half – first less year and half pulling through the United contract, which probably gave us quicker lift. So this approach double-digit, low double-digit volume, low double-digit revenue was probably the right approach for now, and we’ll see…
Alex Silverman: Okay.
Joseph Capper: How the year progresses, but I think, given that and given we know about the market, we like the pace of the market, we like the trended market, but this is probably best approach right now.
Alex Silverman: Okay. That’s very reasonable, thank you guys.
Heather Getz: Yes. You’re welcome.
Operator: Thank you. Our next question comes from Bruce Jackson of Lake Street Capital. Your line is now opened.
Bruce Jackson: Hi, thanks for taking my questions. First of the revenue line, with the Q1 revenue, what’s – is it going to be up sequentially from Q4?
Heather Getz: What we talked about was flattish.
Bruce Jackson: Okay, flattish.
Joseph Capper: Yes Q4 to Q1.
Bruce Jackson: With the revenue?
Joseph Capper: That’s what we’re guiding to right now, I think, overall the message we want you guys to get is, Q1 is not the best quarter of the year. Your revenue was affected by insurance deductible season things like that and then clearly the EBITDA somewhat affected as Heather talked about by higher than usual expenses. If you look that last year, I think we did little about $3 million in first quarter.
Heather Getz: That’s correct.
Joseph Capper: And we did $20 million for the year. We’ll obviously do better than that and the compound revenue will be better, because we have full effect of acquisitions. But fourth quarter was probably little bit better than we thought was going to be each quarter has been a little better than we thought. So let’s hope that trend continues.
Bruce Jackson: Okay, great. And then on the Research Services business you’ve got – you’ve been building up a backlog here. How does that flow into the revenue line over the course of 2015? It’s going be steady or more back-end loaded.
Joseph Capper: A little bit back end in 2015, the way that business works obviously is you have a pipeline or funnel the converts the backlog, converts to revenue. So we talk about the growth in backlog year-over-year, the backlog was kind of the soft as we came into 2014, the team did an excellent job, realigning priorities and growing that backlog that’s in all year backlog. So that’s a good thing, that’s a good sign here we are going to see nice revenue growth in out years, as well. But 2015 versus 2014 we’ll have decent growth and you are right some of that will be back unloaded.
Bruce Jackson: Okay. One more question, just on litigation front you’ve got some ongoing litigation with Scottish Care any updates on that?
Joseph Capper: No that was postponed I think to summer time June timeframe at the other sides request.
Bruce Jackson: Okay, thank you very much.
Joseph Capper: Sure.
Operator: Thank you. Our next question comes from Charley Jones of Dougherty and Market. Your line is now open.
Charley Jones: Hi, good afternoon. Can you hear me okay.
Joseph Capper: Yes, yes, we can.
Heather Getz: Hi, Charlie.
Charley Jones: Hi great, hi, good afternoon. It seems like a nice quarter, everything is kind of as expected I guess. I missed the 5% to 8% so something your volume growth is 2015 Heather and understand low-double digit revenue growth and I’m missing what the 5% to 8% large.
Heather Getz: That’s approximately what our top line organic revenue growth has been over the year.
Charley Jones: And so you made an acquisition part of it way through the first quarter or something last year. And so we are going to pick up a little bit of growth and how much is that and that’s the difference between the organic 5% to 8% the low-double digit.
Heather Getz: The 5% to 8% was for 2014, Charlie for 2015.
Charley Jones: Okay.
Heather Getz: The vast majority of the 2015 growth is organic.
Charley Jones: Okay. And I just had - I had some big picture questions to enjoy I guess on expenses and just on your product cost for the next-generation product, I think you both you and Heather, I guess and despite to understand maybe for us we have heard you are spending in operating expenses and if you feel like the growth that you are going to little put up is you are going to need extra headcount and extra expenses or you can absorb it and you see growing your people count overtime through acquisition more.
Joseph Capper: So I guess the question is you are getting that how much leverage we think it’s in the business sounds like Charlie. I think the short answer is service based business that low require headcount overtime as you grow, however, there is leverage, there’s leverage both on Patient Services side and Research Services side. So we do see improved operating margin overtime. Our philosophy has been fixed some of that leverage and let it drop and then take some of that leverage and fund growth. And the tickets has been working okay for the last couple of year, because we’re seeing improved margins, and you went back and corrected for the Medicare rate cut last year, we’ve seen unbelievably improved margins really with leverage that came with scale. So I think that we’ve taken a right approach so far. We haven’t dumped everything back into the business and we’ve haven’t dumped everything on the bottom line. And I think that’s the approach you can expect to see from us going forward.
Charley Jones: I guess I’m going back to your last quarter call, I think you I’ll talked about maybe wanting to reinvest a little bit faster and kind of being uncertainty about that in your last quarter call. I was just wondering if you’re feeling like you want to put maybe a little bit more push on the sales side, during this period of time. And then I guess, a sort of my question on the margin type, how much smaller is this product, how much less are you shipping we see upfront cost of this product other versus the other one was have a docking patient and look up to your phone. And just a remind, if you could kind of go through the variable cost of your – of net consistent through your shipping and what not and how this product is maybe [indiscernible] where the cost savings are the product.
Joseph Capper: I would say rule is on think of it this way, cost of goods as a portion of cost of sales above what percent.
Heather Getz: The depreciation less 15%.
Joseph Capper: Less 15% cost of sales and a new system should reduce that by about 50% to 60%. That sort of the given, how it affects the rest of the operations is yet to be seen. And for your point about investing in the business, yes, we’ve made those statements in the past, I think that’s pretty consistent with what I just said, it should impact operating margin that margin may effect cash little bit more if we decide to accelerate to build on a equipment, but again obviously that’s capitalize.
Charley Jones: Well now as kind of going of into the other your fixed caution [ph] it sounds like you’ve made this new distribution agreement, I was just wondering if I kind of get a sense for how big it is over the next year and then longer term and little bit - maybe we understand a little bit more about what you’re selling for them and whether or not there is going to be stocking orders maybe year and how that builds overtime maybe how that effects are working capital Heather?
Joseph Capper: Could you clarify, what distribution you’re referring to the roach distribution agreement for INR business.
Charley Jones: I actually think you mentioned two, so you had the roach I’m curious about that one as well, but I though there is different agreement through this respiratory opportunity over there. It sounds like they’re going to get your product and so it sounds like you’re opening up the European distributor over there [indiscernible] I’m curious will they have rights to and what it is.
Joseph Capper: So let’s clarify, one is the roach agreement, which is for our INR business, which is a small, newly developed product line, it’s for at-home testing for an INR test which is the primary test you use for monitoring anti-coagulation medication levels.
Charley Jones: Sure.
Joseph Capper: Alright, so that’s a standard distribution agreement. We buy the equipment from Roch, we will – we then provide the equipment to people for using at your home, we provide services around that and then we collect results, we distributive results back to the position and we build insurance companies in Medicare on their behalf’s.
Charley Jones: Great.
Joseph Capper: Very similar to the model that we have in our Patient Services business, so we are able to leverage a lot of that infrastructure, you need to be an ITDF to provide the service and bill, we have to be an IDTF for our Patient Services, low cardiac monitoring business. So we made a lot of sense, it’s the same sales channel, it’s a relatively small business that will build over time, not tremendous drain on capital. I couldn’t say of the stock how the payback is, but we can provide that to you, but it’s not a big capital intensive business. The second distribution agreement we mentioned is where the company is called Bio Telegraph and that is a research services core lab, headquarter in Europe, it’s a company we’ve dealt with in the past quite a bit, we formalized our relationship to kind of tie the company a little closer together. They provide us at better logistical support some access to the European markets and we do the same for them in the U.S. market. We have relatively small presence today to support our research division in Europe and as we’ve mentioned on previous calls, we’ve been looking to build that out overtime. So that’s a collaboration, it doesn’t require an investment on earth [indiscernible] doesn’t require a big investment on our partner. That makes sense?
Charley Jones: Yes, can you run Europe out of your U.S. facilities? Can you run monitors over there? Other than U.S. or do you have to have European presence?
Joseph Capper: So what happens is, when you enter into a study, you have research sites both in the U.S. and ex-U.S. There is a logistical support required in both cases to get equipment and to collect equipment and to trained people, so on and so forth. So I have a logistical support on the ground, is quite helpful? And some of the monitoring may be done there, but a lot of the monitoring will be actually done back here.
Charley Jones: Alright. Well that – and let somebody else ask here. I guess if you want to know how they keep out the volume on the – beyond with [indiscernible] monitoring mortality than the quarter and then the year for 2014 and say for all the questions then, thanks a lot. Have a good night.
Joseph Capper: I think the last one Charley said was about, MCOT event versus Holter for 2014, if we talked about the split between the three.
Charley Jones: Beyond the quarter.
Heather Getz: Yes, the overall revenue split was 80% Patient Services and of that we had about 55% of that MCOT and reminder is even Holter.
Charley Jones: Thanks a lot, thanks for your time.
Heather Getz: You are welcome.
Joseph Capper: Thanks sir.
Operator: Thank you. Our next question comes from Jan Wald of Benchmark Company. Your line is now open.
Jan Wald: Good afternoon and nice quarter.
Heather Getz: Hi, Jan.
Jan Wald: I think, hi, I think a lot of sort of the questions have been asked, but in terms of Patient Services, I guess it has been coming on and I guess someone asked already about the I guess the shape of the revenue for research, what do you see the shape of the revenue for Patient Services is it going to be linear or do you expect it to, how do you expect it to grow over 2015?
Heather Getz: Yes, Jan I mean as of typical in our business, we typically see basically a little bit of growth between Q1 and Q2 with the flattening to down in Q3 and then another pop up in Q4. So not directly when linear but progressive through the year, with the potential decline in Q3.
Jan Wald: Okay.
Heather Getz: We haven’t seen that last year.
Joseph Capper: Yes, it’s a great question there’s a little bit of seasonality, little bit of choppiness the business. As Heather indicated one pop ups or two usually flat a little bit of three and then up to four, last year we saw, I think, we saw a step up in every quarter. And we saw as part of that could have been just a way the business was growing, the way the market was growing or pulling for the United Agreement. And so again, we took a pretty conservative approach to where we look at this year and what we - a worse case I think it will look a lot like the year before versus last year, but optimistically it look a lot like last year which was up every quarter.
Jan Wald: Okay, thank you. And I guess in terms of the competition that you are seeing in within product [indiscernible] was making a lot of noise with their new Link device, do see that in the marketplace at this point or is that having much big affect?
Joseph Capper: So I think it’s a two part question. One and I answer backward, its Medtronic to link system having an impacted having success in the market and the answer to that is yes. Is it impacting in our MCOT business? I think in a positive way. The link as you may be aware is designed for, it’s an implantable device, quite expensive designed for patients who are having arrhythmia issues with symptoms [indiscernible] in 30 days. And obviously MCOT is good for up to 30 days. MCOT clearly has a much higher detection rate that the link, it’s more robust system. So it’s the right system to use first, but you have another organization of Medtronic out there talking about the benefits of remote patient monitoring a long-term monitoring to detect arrhythmia issues, which I think is raising our pad [ph], to be frank.
Jan Wald: I guess, well thanks another question, you mentioned, I think in the press release that you are now getting larger research studies than you have been in the past. Could you talk a little bit about that, what kind of studies are you getting and how do you see them? How do you see that unfolding, I guess over 2015 and 2016?
Joseph Capper: Yes, I think the team has become very, much more successful at winning preferred provided relationships with drive steady volume, with the research partners. We are heading to win little bit more late phase than earlier phase and we’re tending to win them more larger Pharma companies and frankly their win rate is higher. So a lot of positive indicators for that business moving into the future.
Jan Wald: Okay, and I guess one last question if you don’t mind. I think, I was trying to get it this but, you know if you look at the numbers that are possible I guess. And guidance, if you’re giving, it seems kind of conservative, and I think conservative is a good thing, but I guess, what – you see positive about 2015. Could you talk a little bit more about why you are positive and what the year looks like as you go into it with new product introductions and things like that coming?
Joseph Capper: Yes, I thought you will be doing bad clips, so I’m not giving any guidance of all.
Heather Getz: That’s right.
Joseph Capper: That could be the reason.
Jan Wald: [Indiscernible]
Joseph Capper: Falling your hair on asking for more guys. And you know in dealing with both Heather and myself, I think, we’ve proven that we’d rather deliver than under deliver and it took a lot for us to give this kind of guidance. But we’re comfortable with it. We don’t think it’s a layout, but we don’t think it’s bit crazy either, so it’s a realistic number, both top and bottom line, and it won’t preclude us from doing the other strategic things as well. So we think it’s the right sort of story to be telling right now.
Jan Wald: Okay, thank you very much, I’m done.
Heather Getz: Thank you, Jan.
Jan Wald: That one is better.
Operator: Thank you. [Operator Instructions] Our next question comes from Dan Trang of Stonegate Capital. Your line is now opened. Dan, please check your mute button.
Dan Trang: Hello, hello.
Heather Getz: Hi, Dan.
Operator: They can hear you, sir.
Dan Trang: Okay, all right. Thank you for taking the questions, most of my questions have already been answered, I’m sorry about that. So Joe, you mentioned the consumer mHealth market and looking to collaborate with the larger medical device company and leveraging your company’s data. Can you provide some color as to what consumer applications are you looking into and is an agreement with another medical device company necessary to launch any possible applications. Thank you.
Joseph Capper: Yes, it’s a good question. And I would characterize those discussions as relatively early on. And its not just medical device, but these consumer device companies that are looking space as well. well comp products will supply obviously your expertise is in probably at monitoring today collecting data very efficiently remotely centralizing the data synthesizing and then putting it bringing it back to date to healthcare providers in a usable, readable format. So the conversations we are having is are their other applications, can we drive that down to the consumer level just to require, and the best way for us we think to do that is the collaboration not to be to making all the devices ourselves, especially when you are talking about emerging markets and prices activity issues at the consumer level, how big these markets are. Our position is that the more clinical the information gets the move valuable it gets, and it’s really where our expertise is collecting data and making it relevant. So early on, collaboration with companies both on the consumer side and that device side you are looking at these types of applications.
Dan Trang: Okay, thank you.
Heather Getz: Thanks Dan.
Operator: Thank you. At this time, I’m not showing any further questions. I’d like to turn the call back to Mr. Joseph Capper for closing comments.
Joseph Capper: Thank you operator. Thank you all for your interest in the company. Before we close out of just go in a record saying happy birthday to our outstanding CFO, Heather Getz. And we’ll speak to you all in a couple of months at the next quarter. Thanks everybody. Good night.
Operator: Thank you. Ladies and gentlemen, if you joined the conference late today, you may listen to the conference call via digital replay, which will be available through the investor information section of the BioTelemetry website at www.biotelinc.com, until Thursday, February 26, 2015. This does conclude today’s presentation. Thank you for your participation. You may all disconnect. Everyone, have a wonderful day.